Operator: Greetings and welcome to the Synchronoss Technologies' First Quarter 2025 Earnings Conference Call. At this time, all perspective tare in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ryan Gardella, Investor Relations. Thank you, sir. You may begin.
Ryan Gardella: [Technical Difficulty] Joining us today are Synchronoss Technologies' President and CEO, Jeff Miller; and CFO, Lou Ferraro. By now, everyone should have access to the company's first quarter 2025 earnings press release issued this afternoon, which is available on the Investor Relations' section of the website. Today's call will begin with remarks from Jeff and Lou, after which we'll host a question-and-answer session. Before we conclude, I'll provide the necessary cautions regarding the forward-looking statements made by management during this call. I would like to remind everyone that this call will be recorded and made available for replay via a link in the Investor Relations' section of the company's website. Now, I'll turn the call over to Jeff Miller, President and CEO of Synchronoss. Jeff?
Jeff Miller: Thank you, Ryan. Welcome everyone and thank you for joining today's call. We're pleased to report another quality earnings strong quarter of solid financial results. Our strategic transformation this past year to a leading global cloud solutions provider has resulted in a more predictable, stable business model, strengthening our financial profile, and delivering improved profitability. Revenue for the quarter was $42.4 million, including subscriber growth of 3.3% across our global customer base. Adjusted EBITDA increased 17% year-over-year to $12.7 million, representing an adjusted EBITDA margin of 30.2%. With over 90% of our revenue classified as recurring revenue and more than 90% of our projected 2025 revenue under long-term contracts with Tier 1 carriers like AT&T, Verizon, and SoftBank, we're operating from a position of strength and poised for additional growth as the year progresses. Therefore, despite the current challenging macroeconomic landscape brought on by the imposition of tariffs and further global trade uncertainties, we are reiterating our annual guidance metrics. In fact, carriers are increasingly focused on value-added services as a growth engine in an environment where handset upgrades may be slowing. Our cloud-centric business model, anchored by stable recurring revenue, 90% of which is derived from U.S.-based customers and the long-standing partnerships that we maintain with leading telecom operators, provides the stability needed to navigate the challenges created by these macroeconomic issues. The vital service that our Personal Cloud solution provides to end users to store and protect their cherish memories transcends physical boundaries, devices, and operating systems, which should help further insulate our top line revenue from some of the challenges experienced by some of our competitors. Beyond our operational performance, as you may have already seen, subsequent to the end of the quarter, we announced the refinancing of our debt with a $200 million, four-year term loan led by TP Birch Grove. This allowed us to retire the remaining $121 million in senior notes and $73 million in our prior term loan, which strengthens our capital structure and extends our debt maturity out to 2029. This refinancing gives us the flexibility to continue investing in our Personal Cloud platform and to pursue growth opportunities. We're pleased to have completed this effort, which provides us with multiple years of anticipated financial stability. We've also driven meaningful cost control, cutting overall operational expenses by 11.5% year-over-year through continued diligent efforts to find efficiencies and streamline processes. By optimizing resources and consolidating operations, we've greatly reduced our expenses and are committed to finding more ways to trim costs and redirect those savings to invest in our flagship Personal Cloud solution to accelerate innovation and growth. Together, these corporate level developments, our new term loan refinancing, and consistent cost control equip us to operate with agility, meet the evolving needs of our carrier partners, and deliver value to our subscriber base. This financial and operational discipline flows directly into the momentum that we're seeing from our key customers; AT&T, SoftBank, and Verizon, where the value of our services is driving cloud subscriber growth. At AT&T, we're continuing to see accelerated adoption through streamlined digital onboarding that's both increasing cloud awareness and elevating our take rates. This deep integration into AT&T's customer journey creates real value for the carrier and its users, reinforcing our role as a trusted partner. At SoftBank, we're seeing positive retail sales momentum for Anshin Data Box, which is leveraged across multiple SoftBank mobile brands, resulting in subscriber additions, which were ahead of our expectations for the quarter. At Verizon, we're seeing continued progress in the cloud offer transition from bundled plans to a premium myPlan perk. Verizon Cloud's prominence within their perk portfolio has served to elevate its focus across all Verizon sales channels and that awareness and priority is showcasing itself with continued growth in cloud perk adoption. As another example of this positive momentum, in April, Verizon launched a new small business offering called My Biz, where our cloud storage offer is again playing a prominent role as a featured perk for the SMB segment. We're also closely -- working closely with Verizon to further integrate our technology into their app ecosystem. And as part of that journey, I'm excited to share that we've recently completed an integration of our Cloud Verizon SDK or software development kit into the My Verizon app. This integration is in its early phases, but over time, we anticipate that it will drive expanded discoverability of the Verizon Cloud service, particularly with iOS users, leading to greater subscriber adoption and utilization. These efforts with AT&T, SoftBank and with Verizon strengthen our recurring revenue base and highlight the confidence our partners have in our platform. We're also seeing growing traction with Capsyl, our Synchronoss branded cloud solution designed for smaller and international operators, which is opening new avenues for growth. Capsyl's plug-and-play model eliminates the integration barriers, allowing carriers to quickly roll out their Personal Cloud to their subscribers and we're seeing encouraging early results. We're also increasingly confident in our sales pipeline, which is stronger today than it was a quarter ago. Mobile and broadband carriers are under pressure to boost revenue and retain customers and our Personal Cloud platform delivers both by providing secure, scalable storage that enhances subscriber loyalty. We're in active discussions with new carriers and existing partners, looking to expand their offerings. And while we'll hold off on the details until contracts are signed, we're optimistic that these conversations will yield new customers, supporting our goal of double-digit revenue growth in the future. Beyond the recently launched Capsyl solution and healthy pipeline of new cloud customer prospects, we're also working with existing customers to explore complementary cloud adjacent applications and capabilities that will hold the potential to drive more revenue from our existing subscriber base. Broadly speaking, we're keeping a close eye on industry headwinds, particularly tariffs that are impacting national cellular carriers and their device OEMs as the tariffs carry the potential to drive up device costs. This could potentially create a push-pull dynamic in the future. On one hand, tariffs could slow phone upgrade cycles as consumers delay purchases, which might temper short-term subscriber growth tied to new device activations. On the other hand, longer device life cycles amplify the need for cloud storage as users accumulate more data over time that could be protected in the cloud. We'll give you all more comprehensive updates as the impact and timing of these effects become more apparent. The first quarter allowed us to build on the solid foundation for the remainder of the year and poises us for further growth. Strategic moves like our new term loan refinancing and disciplined cost control, combined with the momentum at AT&T, Verizon, and SoftBank position us to continue to drive subscriber growth as we move through 2025. Now, I'll turn it over to Lou for the financial details. Lou?
Lou Ferraro: Thank you, Jeff and thank you everyone for joining us today. First, I'll review our key financial metrics for the first quarter of 2025, which we believe serve as critical benchmarks for our performance, and then we'll provide an update on our financial results and outlook. Starting with our key performance indicators. Quarterly recurring revenue was 93.1% of total revenue, reflecting our stable cloud business model, while cloud subscriber growth was 3.3%, driven by demand for our Personal Cloud platform. Turning to our financial results for the first quarter ended March 31st, 2025. Total revenue was $42.2 million, down slightly from $43 million in the prior year period due to the previously discussed expiration of a customer contract in December of 2024, partially offset by 3.3% cloud subscriber growth. Adjusted gross profit was $33.4 million or 79% of total revenue, benefiting from cost efficiencies and our cloud-focused operations. Income from operations was up 79.8% year-over-year from $4.6 million to $8.2 million, driven by disciplined expense management. As Jeff mentioned, we closed a $200 million, four-year term loan subsequent to the end of the quarter. This allowed the company to retire the $73.6 million from the prior term loan and allowed the company to redeem the remaining $121.4 million in senior notes on or around May 12th, 2025. The new term loan, priced at SOFR plus 700 basis points with 50 basis point leverage-based step-down, positions us to benefit from potential rate declines, plus quarterly principal amortizations will continue to lower interest costs over time. Moving down the income statement, our total operating expenses decreased 11.5% from $38.4 million to $34 million. All components, including cost of revenues, research and development, sales, general, and administrative, restructuring charges, and D&A were down year-over-year. We are going to continue to be focused on intense cost control to help our profitability. Net loss was $3.8 million or a negative $0.37 per share. This change was driven primarily by the negative impact of $5.6 million non-cash foreign exchange losses, primarily due to reevaluation of intercompany payables and receivables. Adjusted EBITDA was $12.7 million, representing a 30.2% margin, consistent with our high-margin model and supported by cost control, including a reduction in total cost and expenses on a year-over-year basis, as we mentioned previously. Moving to the balance sheet. Cash and cash equivalents were $29.1 million as of March 31st, 2025. Free cash flow was negative $3 million, and adjusted free cash flow was negative $3.3 million. These results were all within the company's expectations for the first quarter, which has historically been a cash spend heavy period. Next, I would like to provide an update on our tax refund status. Recent events and conversations have resulted in our confidence level increasing materially that we are near the end of this extended and painful process for our shareholders. During the first quarter and into the second quarter of 2025, we've had our tax return move into the final stage of review before a check or a wire is sent to us. There is no disagreement on the amount owed and we are even more confident in the receipt in 2025 than we did and talked about on our last call. Under our new term loan agreement, once we receive the refund, we are obligated to use 75% of the proceeds plus applicable interest from the anticipated $28 million IRS refund to prepay a portion of the term loan at par. We'll update the entire financial community as soon as we receive more actionable information. Moving to guidance. We are reaffirming our 2025 outlook and are currently expecting revenue of between $170 million and $180 million, adjusted gross margin of between 78% and 80%, recurring revenue of at least 90% of total revenue, adjusted EBITDA of $52 million to $56 million, and free cash flow of between $11 million and $16 million, which excludes the effect of the federal tax refund. These projections reflect our confidence in subscriber growth, cost discipline, and financial flexibility from our refinancing and refund despite macroeconomic challenges. I'll now turn the call over to the operator for Q&A. Thank you for joining us.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Richard Baldry with ROTH Capital Partners. Please proceed with your question.
Richard Baldry: If we look sequentially, the costs have continued to fall, whether that's above the line or on the OpEx side. Can you talk about to what degree do you think you're now sort of getting that cost structure down where you want it to be? Is there any further cost or synergy to come out of there? Or do you think this is a pretty good baseline where we're sitting?
Lou Ferraro: Good afternoon Rich and thanks for that question. I think Synchronoss over the last few years, continually looks at our cost structure as optimistically as we can from time-to-time to see if there are any refinements we can make. We think that the major reductions we did at the close of 2023 and again, to a lesser extent at the close of 2024 position us well. We're glad we did it, especially in light of the macroeconomic conditions we're seeing. And we think, in general, the cost structure where it is today is largely where we'd like it to be for this point in our history as a company.
Richard Baldry: Thanks. And when you talk -- you sort of touched lightly on having some conversations with some new prospects. Can you talk about sort of where do you think those would be? Are those just international of the same sort of customers you have now? Is it something that would expand on existing customers or new opportunities for revenue growth? Thanks.
Jeff Miller: Yes, you're welcome. It's certainly pleasing to say that those opportunities are kind of many fold and that they cover the geographies around the globe. So, we have active conversations going on in the United States because there are, we believe, a number of emerging mobile and broadband players who are prime candidates to leverage a cloud-based solution to complement their broadband and mobile offerings. Similarly, we have opportunities in the Asia-Pacific region and in Europe. as well, candidly, as in Africa. So, we have our business development activities very actively engaged with a lot of conversations in place, and we hope to be in a position soon to be able to report the next customer to join the platform, but we are making steady progress.
Richard Baldry: Great. Thanks.
Jeff Miller: Thank you.
Operator: Our next question comes from Mike Latimore with Northland Capital. Please proceed with your question.
Aditya Dagaonkar: Hey, hi, this is Aditya on behalf of Mike Latimore. Could you give some color on what kind of free cash flow we can expect this year?
Lou Ferraro: Certainly. As we said, we reiterated our guidance. Our free cash flow should be between $11 million and $16 million. If you look at the last couple of years for Synchronoss, that tends to move around from quarter-to-quarter, usually highlighted by a very strong fourth quarter, and we think we'll probably see a consistent performance for that in 2025.
Aditya Dagaonkar: Got it. And among AT&T and SoftBank, which one is growing faster?
Jeff Miller: I would say that they're both very much growing in a healthy clip, and they're both meeting our expectations at this time. We really try to avoid divulging any specific information on any individual client. But collectively, they are driving the biggest portion of the growth for the first quarter as reported.
Aditya Dagaonkar: Got it. And maybe some color on how should we think about modeling gross margins for the year?
Lou Ferraro: I think our gross margins, as we said, will probably be on an adjusted basis between 78% and 80%. We've been very close to that now for the last couple of quarters. And with our expense structure being where we'd like it to be, we expect to continue to perform in that range throughout the rest of this year.
Aditya Dagaonkar: Got it. Thank you.
Lou Ferraro: Yes, very well.
Jeff Miller: Thank you.
Operator: [Operator Instructions] There are no more further questions at this time. I would like to turn the floor back over to Jeff Miller for closing comments.
Jeff Miller: Thank you. Once again, I'd like to thank the team members from Synchronoss who have continued to remain committed to enhancing and developing our Cloud Platform, serving our customers, and as evidenced by our results for the quarter, managing our costs in a very disciplined fashion. Their dedication and commitment to the business is something that we all value. I'd also like to thank all of our shareholders for your active and long-term participation with us. We look forward to giving you further updates throughout the year. With that, I'll turn it back to you for the Safe Harbor.
Ryan Gardella: Thanks Jeff. Before we conclude today's call, I would like to provide Synchronoss' Safe Harbor statement that includes important cautions regarding forward-looking statements made during this call. During this call, management discussed certain factors that are likely to influence the company's business going forward. Any factors that are discussed today that are not historical, particularly comments regarding our prospects and market opportunities, should be considered forward-looking statements within the meaning of applicable securities laws. These forward-looking statements include comments about the company's plans and expectations of future performance. Forward-looking statements are subject to a number of risks and uncertainties, which can cause actual results to differ materially. All listeners are encouraged to review the company's SEC filings, including its most recent 10-K and 10-Q for a description of these risks. Statements made during this call are made as of today and the company does not undertake any obligation to update or revise any such forward-looking statements, whether as a result of new information, future events, changes in expectations, or otherwise. Please note that throughout today's call, management discussed certain non-GAAP financial measures such as adjusted EBITDA. Although the non-GAAP measures are derived from GAAP numbers, adjusted EBITDA does not necessarily equate to cash generated by operations and does not account for such items as deferred revenue or the capitalization of software development. Today's earnings release describes the differences between the company's non-GAAP and GAAP reporting and presents a reconciliation of the periods reported in the release. Thank you for joining us for Synchronoss Technologies' first quarter 2025 earnings call. You may now disconnect.